Operator: Good morning, ladies and gentlemen, and welcome to the Dream Industrial REIT Second Quarter Conference Call for Wednesday, August 4, 2021.  During this call, management of Dream Industrial REIT may make statements containing forward-looking information within the meaning of applicable securities legislation. Forward-looking information is based on a number of assumptions and is subject to a number of risks and uncertainties, many of which are beyond Dream Industrial REIT's control, that could cause actual results to differ materially from those that are disclosed in or implied by such forward-looking information. Additional information about these assumptions and risks and uncertainties is contained in Dream Industrial REIT's filings with securities regulators, including its latest annual information form and MD&A. These filings are also available on Dream Industrial REIT's website at www. dreamindustrialreit.ca. . Your host for today will be Mr. Brian Pauls, CEO of Dream Industrial REIT. Mr. Pauls, please go ahead.
Brian Pauls: Thank you. Good morning, everyone. Thank you for joining us today for Dream Industrial REIT's 2021 Second Quarter Conference Call. Speaking with me today is Lenis Quan, our Chief Financial Officer; and Alex Sannikov, our Chief Operating Officer.  Q2 marks an incredible quarter with significant strategic initiatives completed by the REIT as well as solid operational results. We reported a 10%-plus increase in FFO per unit for the second consecutive quarter this year driven by CPNOI growth and a lower cost of debt. Our pace of CPNOI growth remains robust and was 3.8% in Q2 as leases signed over the past 6 to 9 months continued to take effect.  We completed the transformational $1.3 billion pan-European portfolio transaction, bringing our total acquisition volume in the last 7 months to an incredible $1.8 billion, including 2 million square feet of development opportunities. We've advanced our development pipeline with approximately 700,000 square feet of projects currently underway in Canada and the U.S.  Q2 also saw the release of our green financing framework and our launch of $400 million of green bonds with over $300 million of eligible investments completed or identified to date. We continue to lower our cost of debt with $800 million of unsecured debentures issued during the quarter in connection with the pan-European portfolio transaction at an average interest rate of just 0.35% over a 5-year term after swapping the euros.  Subsequent to the quarter, we seeded a USD 480 million industrial fund that will allow us to grow effectively in the U.S. alongside reputable institutions while increasing the quality and diversification of our U.S. assets. We expect to deploy the near-term proceeds from this transaction towards high-quality acquisitions in Europe and Canada as well as towards repaying secured debt.  Over the past 18 months, we have significantly outperformed our initial targets as we executed on our European expansion and debt strategy. We have now acquired over $1.8 billion of high-quality logistics assets in Europe that have improved our portfolio quality, scale and diversification. This execution has allowed us to become a $5 billion global REIT with significant scale in markets that have strong barriers to entry and provide solid organic growth potential. We are optimistic about the outlook of industrial fundamentals in Europe due to the long runway for growth in e-commerce, barriers to significant new supply and attractive going in capital values and yields on high-quality industrial product.  Our European expansion strategy has also transformed our debt financing model over the past 18 months. Since launching our European expansion, we have lowered our average cost on total debt outstanding by over 200 basis points significantly outperforming our prior expectations. In the U.S., the fund allows us to continue to grow in attractive markets, improving overall portfolio quality and diversification while maintaining an attractive geographic mix. We will grow our property management business and will provide property management, construction management and leasing services to the fund at market rates which will improve our returns on equity invested in the region.  In Canada, we continue to add scale in our target markets of the Greater Toronto Area and the Greater Montreal area with over $300 million of assets closed or under contract thus far in 2021. Private market pricing for good quality assets in these markets continues to set new records with every transaction. This bodes well for our existing portfolio as reflected in the 17% year-over-year increase in NAV per unit from $11.75 to $13.69.  Looking forward, we will remain opportunistic in sourcing properties in these markets that are attractive against our target hurdles and screen well against economic rent and replacement cost. As asset pricing continues to surpass record levels in many of our target markets, we also intend to add scale through a structured development program.  Our development pipeline currently consists over -- of over 3 million square feet across each of our operating markets. We expect to have up to 5% of our total assets under active development at any point in time with targeted yields on construction costs over 6%.  We have 3 pillars of our development strategy: greenfield development, redevelopment and expansion opportunities at our current sites. During the quarter, we expanded our greenfield development program in the GTA with the acquisition of 2 land parcels totaling 38 acres. The first site is a 30-acre parcel located in Brampton that can support a 550,000 square foot logistics facility with a targeted construction commencement date in the next 18 to 30 months. The second site is an 8-acre parcel located in Caledon that can support the construction of a 150,000 square foot logistics facility in the next 12 months. Combined, these 2 sites were acquired for less than $50 million, representing an attractive valuation of approximately $1.3 million per acre.  We are targeting unlevered yield on cost of approximately 6% on these projects, which represents a spread of 250 basis points compared to cap rates for comparable stabilized properties and should result in meaningful NAV per unit growth.  In addition to our greenfield development, we have commenced construction on 2 expansion projects in the GTA in Montreal that will add 260,000 square feet of additional density in these markets. We expect these projects to be completed in 2022. Moreover, we have several existing properties in our near-term redevelopment bucket. These sites are located primarily in the GTA in Montreal, where we can redevelop the existing properties to accommodate modern logistics use as well as increase the footprint by 300,000 square feet.  During the quarter, we expanded our medium-term development pipeline by over 1 million square feet of intensification opportunities in France and the Netherlands as part of the properties added through the pan-European portfolio transaction. We expect to access these opportunities over time and are forecasting a yield on incremental cost of over 7%. We continue to make significant progress in all aspects of our business.  I will now turn it over to Alex to talk about our operations.
Alexander Sannikov: Thank you, Brian. Good morning, everyone. Industrial market fundamentals remain robust across all our markets. Availability rates continued to trend down in most of our markets dropping to the low 2% range across Canada with availability in the GTA and GMA just over 1%.  Since the end of Q1, we signed 1.6 million square feet of leases at an average rental spread of over 20% over prior ends. On these leases, we also achieved an annual contractual rental growth of 2%. Our in-place occupancy increased 170 basis points compared to Q1 2021 to 97.4%. We have lease commitments for about 238,000 square feet of vacancies, most of which are expected to commence over the balance of 2021, taking committed occupancy to 98%.  Notably, with strengthening logistics fundamentals in Western Canada and our active asset management program, we were able to lease 14 vacancies totaling 156,000 square feet during the quarter, which resulted in 170 basis points increase in committed occupancy in our Western Canada portfolio to 95.9% as of June 30, 2021. As a result of our strong leasing activity, our same property NOI growth continued to be strong with reported 3.8% year-over-year growth this quarter. We reiterate our previous forecast of mid-single-digit CPNOI growth for 2021.  In terms of quarterly guidance, we expect that CPNOI growth will accelerate further over the balance of 2021 as signed leases take effect. On the operations front, the rent collection levels in our portfolio have returned to pre-pandemic levels as our tenant base has proven resilient through the pandemic. We have collected over 99% of recurring contractual gross rents during 2021. We have collected substantially all of the contractual rents for 2020.  Of the $2.3 million of rent deferred during Q2 2020, we have collected about 95% already. During the quarter, the value of our assets increased by $207 million reflecting lower capitalization rates as well as higher market rents in Ontario and Quebec primarily, and demand for industrial assets continues to be robust across all of our markets. As of June 30, 2021, our investment properties were valued at $150 per square foot, including the Ontario and Montreal portfolios that are being carried at $192 and $144 per square foot, respectively.  With asset pricing setting new records in most of our markets, we expect our asset values to continue to increase over time as private market transactions provide additional data points. We continue to advance our 2021 ESG plan and are increasingly prioritizing green investments in our capital allocation decisions. We are in advanced stages of planning renewable power projects in Canada and the Netherlands and collaborating with the local authorities on these projects. We are targeting to install over 40,000 solar panels across 3 million square feet, which would result in over 10% of the trust portfolio being powered by renewable energy.  We continue to make solid progress in increasing energy efficiency across our buildings. We have established a target of upgrading approximately 1 million square feet of GLA each year to LED lighting. On a year-to-date basis, our lighting retrofits totaled nearly 0.5 million square feet, and we are on track to achieve our annual target.  I will now turn it over to Lenis, who will provide our financial update.
Lenis Quan: Thank you, Alex. Our financial results for the second quarter were strong and in line with our expectations. Diluted funds from operations was $0.19 per unit for the quarter, 11% higher than the prior year comparative quarter due to higher NOI from our comparative properties and recent acquisitions and lower borrowing costs as we executed on our European debt strategy.  The pace of our capital deployment remains strong, and we have closed or waived on over $1.8 billion of acquisitions thus far in 2021 and have closed or waived all conditions on $118 million of assets subsequent to quarter end.  To date, in 2021, we have also repaid over $300 million of secured mortgages, including approximately $170 million of Canadian mortgages repaid subsequent to the end of the second quarter. These mortgages bear interest at an average interest rate of 3.65% and have an average remaining term to maturity of 2.4 years.  Our debt strategy has allowed us to transform DIR to operate primarily with an unsecured financing model and has continued to result in a lower cost of debt. Over the past year, we have raised $1.2 billion of unsecured debt at a weighted average interest rate of under 0.5% after swapping to euros, including $800 million of unsecured debentures issued during the quarter at an average interest rate of only 35 basis points after swapping to euros.  The average interest rate on our in-place debt has decreased by over 200 basis points over the past year and at the end of Q2 2021 was 1.49%, significantly outperforming our expectations at the onset of our European expansion and debt strategy. With the repayment of additional mortgages subsequent to the end of Q2, we expect that interest rate to decrease further.  During the quarter, we also issued our inaugural green bond, a $400 million Series C unsecured debentures. The proceeds are expected to be invested in accordance with our green financing framework. The deployment of the proceeds is well underway, and we have already completed or have identified over $300 million of eligible projects to date, including over $200 million of green certified assets acquired as part of the pan-European portfolio transaction. Subsequent to quarter end, we sold a 75% interest in 18 of our U.S. assets for expected net proceeds of $250 million. As Brian mentioned, we expect to redeploy these proceeds towards acquisitions over the balance of the year as well as repaying secured debt. Pro forma the acquisitions completed or waived since the end of the second quarter, repayment of mortgages and the U.S. fund transaction, our leverage is expected to be in the mid-30% range and we will retain nearly $300 million of acquisition capacity before our leverage reaches our targeted mid- to high 30% range.  Having achieved a significantly lower average cost of debt during the first half of the year and with strong comparative properties NOI growth expected for the year, we expect just over 10% year-over-year FFO per unit growth in 2021, assuming average leverage for the year in the low to mid-30% range.  I will now turn it back to Brian to wrap up.
Brian Pauls: Thank you, Lenis. 2021 has been an incredibly exciting time for DIR and we have taken significant steps to position DIR as the premier industrial REIT in each of our operating markets. We'll now open it up for questions.
Operator: . And our first question comes from Brad Sturges from Raymond James.
Bradley Sturges: Maybe just starting with the U.S. fund strategy. I'm wondering if you could just comment on the fundraising efforts to date and maybe give a little bit of color on to the extent you can, maybe the types of institutional investors participating in the fund?
Brian Pauls: Sure, Brad. It's a good question. We're excited to maintain 25% of the fund. There are significant U.S. institutions coming into the fund. We're not at liberty to identify them, but they'd all be household names. So we think the opportunity to partner with them to grow into very strong markets, be really focused on total return and have exposure to some new markets we wouldn't have been able to enter without the fund is an exciting opportunity.  So there's a lot of investor interest. It's certainly well capitalized with interest from these institutions in seeing that grow. So certainly, the seed portfolio is fully funded and there's commitments to grow beyond that. And we're looking to grow not only in 2021 but beyond that. We expect the scale to grow pretty significantly over the next few years.
Bradley Sturges: Okay. Beyond the seed portfolio, do you have any initial targets or thoughts in terms of what the fund could grow to in the next call it, 12 to 24 months?
Brian Pauls: Yes, I think it could certainly double or triple over the next couple of years. That would be the target from the investor clients and the expectation for the fund.
Bradley Sturges: And just in terms of the investment strategy, I guess there's a 4-pronged approach. Like is there a specific target in terms of the exposure to those various buckets of investment exposure? Or is it going to be more of an opportunistic investment strategy?
Brian Pauls: The investment manager will manage that. I think it will include 4 prongs, as you mentioned: development, value-add, core plus and then core properties. So that will be a mixture. It will have a mixture of current return as well as kind of total return as a result from development and value-add opportunities.
Bradley Sturges: And with a total return approach, is there a specific target you have in mind to achieve on an annual basis, let's say?
Brian Pauls: I think the target return to investors and to us, I'd say the expectation would be the overall return would be in the double digits. It will be certainly the market return for these types of funds, but we see this as an opportunity to really grow into new markets and basically participate in really, really high-quality assets ones that we couldn't necessarily afford to buy ourselves and to get to the scale that we would and have the diversification that we -- without the fund.
Operator: And our next question comes from Himanshu Gupta from Scotiabank.
Himanshu Gupta: Just to follow up on the U.S. industrial fund. Brian, you mentioned the portfolio could double or triple over the coming years. So does Dream Industrial look to maintain that 25% interest in that fund over time? I mean are you committed to maintaining certain exposure to the U.S.?
Brian Pauls: Yes, Himanshu, we'll have the option to do that, not the commitment. I think we'll see the results of the fund and make an allocation. At the time, we do see it as a good opportunity to grow and would expect to continue to invest in the U.S. fund as it grows. Lenis mentioned we're going to deploy proceeds in Europe. We're going to pay down some secured debt. We've got a pipeline of opportunities in Canada as well as Europe. And we would also expect to participate in the fund as it grows.
Himanshu Gupta: Okay. That's helpful. And maybe on the same line, any thoughts on your overall target portfolio mix? I mean if I look at Europe post this U.S. transaction, that will be almost 40% of your portfolio. And how much maximum exposure do you want to have for Europe and any thoughts on overall target portfolio mix?
Brian Pauls: Yes. We'd like to keep the majority of our assets in Canada. Europe has grown significantly, although we've got some opportunities, I think, to continue to grow that. Referencing your previous question, we'd like to grow our allocation in the U.S. so to rebalance a little bit as we go. But we keep over 50% in Canada, somewhere between 30% and 40%, I would say, in Europe and then the balance would be, call it, 20% -- up to 20% in the U.S.  So that's really just an off-the-cuff kind of allocation, but that's generally where I see things shaking out as the dust starts to settle. Alex, do you want to comment on where we're seeing opportunities and where we'll be?
Alexander Sannikov: Yes. We continue seeing a pretty strong pipeline of opportunities in Europe. So we expect that in the near term, Europe will be at the upper end of the allocations as Brian mentioned. And then in Canada, we are continuing to see acquisition opportunities, but also we are ramping up our development program. And so as these developments get completed, then obviously, the Canadian portfolio will grow disproportionately.  So it will not be consistent with those numbers every quarter. From quarter-to-quarter, it's going to move around, but in the long run, that's what we expect is going to shape out.
Himanshu Gupta: Okay. That makes sense. And maybe just, obviously, Europe is the focus point right now on the pan-European portfolio acquisition. Maybe can you talk about the quality of the tenants? I mean it seems like it's largely a single-tenant portfolio. So maybe anything on the credit quality and type of investment exposure you have?
Alexander Sannikov: Yes. Thanks for the question. It is an institutional grade portfolio, it is a logistics portfolio and as it typically is with logistics assets, especially logistics assets in Europe, they are single tenant. So that's why most of the buildings here are single tenant. These are sort of household logistics names in Europe or globally.  When we look at rent collections, for example, in that portfolio throughout the pandemic, it's been 100%. As we talked when the portfolio was announced, significant component of the portfolio is in -- tenants in the portfolio are in food and grocery and other logistics services.  So it's a diversified mix. But at the same time, it's -- these tenants are in the path of progress, as we say, with respect to how logistics markets are developing.
Himanshu Gupta: Okay. That's helpful. And maybe last question for Lenis. Any update on the FFO per unit guidance? I think previously, you have mentioned around 10% increase year-over-year. Any update there?
Lenis Quan: Yes. I think we mentioned just over 10% year-over-year FFO per gross unit. So that's our current guidance for FFO per unit. I think with the significantly large reduction in our average interest costs and reiteration of our same-property growth, we're landing on just over 10% growth this year for FFO.
Operator: And our next question comes from Sam Damiani from TD Securities.
Sam Damiani: I think the only question I have left is just the capacity on the balance sheet for additional euro swap debt. And also, what would be your incremental debt cost to do it domestically without the swap?
Lenis Quan: Sam, so at the end of the quarter, we had about €150 million of capacity. And as we continue to acquire additional European assets that grow to subsequent to quarter, we've probably grown that capacity by close to 50%. So approximately €200 million as of today. And as we continue to grow in Europe, that increases the capacity as well.  I think in terms of -- sorry, your second question was just in terms of the rates, I believe, that we're seeing?
Sam Damiani: Yes, rates -- yes, rates both with and without the swap.
Lenis Quan: Okay. Yes. So we're seeing -- versus the Canadian market, we're probably seeing close to 200 basis points in differential between CAD and the euro. And interest rates for 5, 7 and 10 years on the euro swap, it's probably in and around 45 to 125 basis points over the terms -- over the various terms.
Sam Damiani: Okay. And just on the U.S. front, sorry, one more question. When do you think the next fact was? Like when would the funds sort of resume acquisition activity going forward?
Brian Pauls: Yes. Sam, I'd expect that to be in Q4.
Operator: . And our next question comes from Matt Kornack from National Bank.
Matt Kornack: Follow-up on the balance sheet front. You have a fairly sizable amount of cash on the balance sheet. You're getting some more from the U.S. sale, obviously, repaying some mortgages as well. On the debt repayment front, should we anticipate in the near term more sort of mortgage repayments and potentially the seasons of some of the debt that came from the European portfolio? Or is that something that will take place later?
Lenis Quan: Matt. So yes, with the -- as I mentioned before, we've repaid about $170 million of Canadian mortgages since the end of the quarter, using some of that cash on the balance sheet with the closing of the U.S. fund transaction. We'll use a little bit of that to repay some additional mortgages but also to fund some of the acquisitions that we've identified.  We'll look at the European mortgages that were acquired with the portfolio. There isn't a long term left on them and the average interest rate was about 1.5% or 1.8%. So I think we see some good opportunity to tackle some of the Canadian mortgages first but definitely keeping the European mortgages on the radar as well as it provides additional Euro debt capacity for us.
Matt Kornack: Okay. Fair enough. On the European portfolio, with regards to the lease maturities, it seems like there's a fairly chunky amount of space in 2022. Can you maybe speak to the prospects for that? I assume it's several tenants. But just in terms of what you're seeing with regards to the prospects of some frictional vacancy, if there would be any renewal spreads?
Brian Pauls: Yes. There are some tenants who have near-term maturities that have been underwritten. And we're working with some of them to renew. And a few have indicated that they might not renew, but we have a pipeline of tenants who will be replacing them. So that so far is all in line with our underwriting.  And as far as rental spreads, they're generally consistent with what we've communicated at average for the portfolio. But obviously, some spaces will be lower, some spaces will be higher. But generally, the spreads are positive. It varies by tenant, but they're positive mid-single-digit spreads.
Matt Kornack: Okay. Perfect. And then the Canadian rent spreads continue to exceed expectations and the acceleration has been pretty steep there. Was there anything specific to the tenant or the lease that was renewing for the Quebec tenant where you got a 92% spread to the expiring rent? It seems like a pretty hefty increase there.
Brian Pauls: Nothing specific. It's sort of the market for this type of building, it's a high-quality building, has a bit of excess land. So in the long run, we see it as an intensification opportunity, obviously, not during the renewed term. But other than that, it's a good quality building in a pretty strong market, and that's what reflected in the new term -- in the new lease rates.
Operator: And our next question comes from Brad Sturges from Raymond James.
Bradley Sturges: Just one quick follow-up on the potential for asset sales or capital recycling in Western Canada. Any updated thoughts there? You've been seeing a little bit better occupancy rates. Is there any change in your strategic plan there for capital rotation -- or capital recycling rotation out of those markets?
Brian Pauls: Yes. Brad, we constantly look at this. We look at it every month. As you know, we've got an IRR model for all of our assets, and we're looking to recycle ones that we think are not going to perform as well as others and replace them with higher quality and better long-term outlook assets. We're constantly looking at our whole portfolio. But we do see some opportunity in Western Canada to recycle some assets. Certainly, asset values, the rising tide is -- has risen those boats as well.  So we are looking at a few assets in Western Canada. Now may be a good time to do that. Alex, you can comment a little bit more on kind of the status of the market and specifically Western Canada.
Alexander Sannikov: Thanks, Brian. We are seeing improving fundamentals in pretty much all markets in the West where we are present. And those improving fundamentals, improving confidence in leasing outlook does bring more liquidity and more investor interest and demand. And so that's the trend that we're starting to see. And that's the trend Brian is referring to as to us looking at our portfolio and opportunities to capitalize on this trend. For properties that are good quality properties, they are performing. However, with the trust reaching the scale we're at, some of these assets are smaller, and we don't fit the long-term portfolio strategy.  So we would look at opportunistically recycling capital, depending on pricing and a few other asset management initiatives that we're pursuing on those assets. So timing is hard to predict, but we continue monitoring that and looking for opportunities.
Bradley Sturges: Okay. So no real change in strategic plan. But given the market fundamentals are improving, you could be a little bit more opportunistic, I guess?
Alexander Sannikov: That's right.
Operator: . And our next question comes from Pammi Bir from RBC.
Pammi Bir: Just a quick question, maybe a follow-up to one of the questions earlier on these maturities. So the 2022 to pick up and in Europe, and you mentioned maybe there's some, I guess, some vacancy that's anticipated there. And then maybe when you layer that together with the strong spreads that you have been getting on renewals and new leasing, what are the sort of -- what are your initial thoughts, I guess, for next year in terms of the ability to carry the momentum in same profit NOI growth in 2022?
Brian Pauls: Well, we're not in a position to provide guidance on same property NOI. That said, we're expecting that the strength of the markets will continue. We're looking at not only capitalizing on the rental spreads and built-in escalators but also at generating additional sources of revenue through our solar initiative and a few other opportunities to invest in the buildings that will translate into same property NOI growth. So we expect the outlook is positive. However, we'll be providing more precise guidance at the later stage.
Pammi Bir: Got it. Just maybe one more, one quick one. Lenis, your comments on the 10% FFO growth or just over 10% for this year, I just wanted to clarify whether that excludes any of the early debt repayment charges?
Lenis Quan: Yes, that's correct, Pammi. Those payment charges are just as a result of capital allocation. So, yes, they would be excluded from our guidance.
Operator: And we have no further questions. I will now turn the call over to Brian for final remarks.
Brian Pauls: Thank you. Thank you, everyone, for your time today. We look forward to speaking again soon. And in the meantime, stay healthy and stay safe. Take care.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. Thank you for participating, and you may now disconnect.